Operator: Good day ladies and gentlemen and welcome to the Q1 2009 WESCO International Incorporated Earnings Conference Call. My name is Anthorn and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will be conduct a question-and-answer session towards the end this conference. (Operator Instructions). I would now like to turn the presentation over to Mr. Daniel A. Brailer, Vice President and Treasurer. Please proceed sir.
Daniel Brailer: Thank you. Good morning ladies and gentlemen. Thank you for joining us for WESCO International's conference call to review the first quarter 2009 financial results. This morning, participating in the earnings conference call are Mr. Roy Haley, WESCO's Chairman and Chief Executive Officer; Mr. John Engel, Senior Vice President and Chief Operation Officer; and Mr. Steve Van Oss, WESCO's Senior Vice President and Chief Financial and Administrative Officer. Means to access this conference call via webcast was disclosed in the press release and was posted on our corporate website. Replays of the conference call will be archived and available for seven days. Following the conclusion of this conference call, we will post on our website a supplemental financial data presentation that provides a summary of certain financial and end-market information provided in today's commentary by management. This conference call may include forward-looking statements and therefore, actual results may differ materially from expectations. For additional information on WESCO International, please refer to the company's SEC filings including risk factors described there end. The following presentation may also include a discussion of certain non-GAAP financial measures. Information required by Regulation G with respect to such non-GAAP financial measures can be found via WESCO's website, at www.wesco.com. I would now like to turn the conference call over to Mr. Roy Haley.
Roy Haley: Good morning and thank you for us. I often start these meetings by trying to put our results in to context comparing to prior periods or prior events. But given this significant decline in market activity and the state of affairs that we’re in it’s pretty difficult to do. So, what I would like to do today is maybe just touch on the few things that have gone well during the past quarter, a few that haven't and where we’re putting our emphasis. As you know we successfully renewed our accounts receivable facility and we’re maintaining a very high level of financing flexibility for at least the next three years. That was an important accomplishment for us in something that we told you we would be working on this quarter. We have been awarded additional national account preferred supplier agreements indicating to us that large and sophisticated organizations are continuing to validate the ongoing effectiveness and competitiveness of our product and service offerings. A significant importance is the fact that our management in sales and service teams have responded in a temporary way as we have worked to right size the organization in our costs structure. Personnel have also done a very good job of demonstrating value in what we do and thereby protecting our margins. All of these activities have taken a lot of the effort and there we have made excellent progress. Where do we miss the mark? Well, to borrow a phrase from political analysts and Clinton Camp Finger "It's the Economy, Stupid". No criticism intended but we are dealing with a very challenging environment as there are others in our industry. The market decline that we encountered in late November and December worsened quite a bit during the first quarter and considerably more than we had anticipated based on the data that we had at the time and the amount of business that we were continuing to see coming the door. Activity levels have dropped and we have experience some deferrals in certain project opportunities where we believe that we would be successful bidders and beginning during this part of the year or later in picking up additional business. But buy in large our activities based on adjusting we have proceeded through the quarter and things have worked reasonably well in that regard. We are working very hard on our wide range of new sales initiatives in programs and we are taking cost reduction actions on an ongoing basis. With that introduction, let me turn it over to Steve Van Oss for a recap of the financial results.
Steve Van Oss: Thanks, Roy, good morning, everybody. WESCO has a terrific franchisee build by the extra effort of thousands of dedicated and hardworking employees. These employees have positioned our company as a premier product, service and solutions provider for our large major customers in diversified end markets and is a distributor partner of choice of our blue chip supplier base. Despite their extra effort of our employees our diverse customer base and multitude of sales and marketing activities. We are not unused the broadbased economic slowdown. For the quarter, reported sales decline 19.5%, our response was quick the size even is ongoing. Given the magnitude of the revenue shortfall, our overall results and ability to expand gross margins make meaningful structural cost reductions and generate record free cash flow have been encouraging. Margin actions, which included multiple pricing and procurement initiatives were successful and improving our gross margins by 30 basis point sequentially on top of the 50 basis point sequential improvement in the fourth quarter of 2008. Further staffing actions, resulted from the closure of five underperforming branches and personnel reduction affected 500 positions during the quarter. Discretionary spending was reduced in excess of 30% during the quarter. Furthermore, capital expenditures have been deferred or eliminated resulting in a 75% reduction in cash outlays versus last year's first quarter. Our expenses on working capital performance, cash generation, credit availability and debt reduction resulted in a $132 million of free cash flow for the quarter, a record first quarter performance for the company. Our liquidity position at the end of the quarter from $365 million then improve by $92 million over last year. Further bolstering our balance sheet, we renewed our accounts receivable securitization facility this month extending the term in to 2012. We are highly confident in our proven business model will again be resilient in this economic downturn providing ample free cash flow and credit availability to fund operational another financing requirements in 2009 and beyond. If you look at the first quarter results in little more detail. Adjusting for the negative impact of foreign exchange and one less work day in the quarter consolidated sales at $1.18 billion decreased 15.7%. Additionally, lower commodity prices primarily copper, which begin a rapid decline starting in the fourth quarter of last year contributed to the lower revenue. Sales of products with heavy copper and steel content declined by $65 million versus the first quarter of 2009 due to lower pricing and lower volume and accounted for 30% on the quarter decline from the quarter. Volumes in these categories were affected by lower demand and our margin standards for incremental business. Sales of these products were down $58 million sequentially. Deteriorating end market activity throughout the quarter resulted in lower sales to customers in our industrial OEM, construction and utility end markets. Sales to customers in Canada, on a Canadian dollar basis were up during the quarter. Backlog which consistent firm orders from future delivery ended the quarter down 5% from year end. Consolidated gross margins at 20.2% improve sequentially by 30% basis points despite a substantial decline in commodity prices during the fourth quarter and first quarter and the shift to higher mix of direct shipment project related sales. Improvements in our project and stock margins more than offset this mix shift as well as offsetting lower margin associated with sales and copper related products. And in environment were first quarter average spot to copper commodity prices decline by over 55% versus last year's first quarter and 11% versus last year's fourth quarter. Our SG&A costs excluding $2.2 million of severance related charge were reduced by $26 million or 12.4%. Sequentially cost increase $17 million, actions taking in the fourth and first quarter should result annualize structural cost reductions and approximately $60 million. Identified actions being taken in the second quarter this year, we'll provide an additional $22 million of annual structural cost reduction. In 2009 impact to these permanent actions will be approximately $70 million. In addition, volume and variable cost items like transportation expense and incentive payments, its result in additional $30 million reduced expenses in 2009. So in summary, we’ve taken actions that to result in overall annual savings totaling approximately $120 million of which $100 million should be realized in 2009. Our all-in borrowing costs are low at approximately 2.9%, and along with reductions in debt levels have allowed the company to reduce interest costs $6 million from last year's first quarter. As discussed in our press release we implemented retrospectively APB 14-1 it’s the new accounting standard covering convertible debentures. The application of this standard resulted in increase of non-cash interest expense for the quarter at $3.8 million and a negative impact of $0.06 earnings per share. Full year impact of these accounting changes estimated that $50 million of additional non-cash interest expense and a negative impact of $0.25 to earnings per share in total. The effective income tax rate for the quarter was 29% versus last year's first quarter rate of 31%. Full year 2009 tax rate is expect to be approximately 30%. Net income for the quarter was $23 million and resulted in earnings per share of $0.55 versus net income of $43 million and earnings per share of $0.97 last year. At this time John Engel our Chief Operating Officer will provide additional commentary on our end markets and initiatives we are undertaking to deal with the current economy environment and to expand WESCO's market share.
John Engel: Thanks Steve and good morning everyone. I will be providing performance summary through each of our major end markets. Let me first start out with a brief overview. Sales to our construction, industrial OEM and utility customers were down 19.5% in the first quarter. The sales declined were broad based and occurred across the quarter and in to April. As we did last quarter we responded quickly and executed another round of cost production actions. And we continue to place the priority on our margin improvement and working capital reduction initiatives. We'll continue to evaluate end-market demand and we are planning, and are taking further cost reduction actions in the second quarter and the second half of this year. Our served markets remain large and our customers are increasingly looking for ways to streamline our supply chains and improve our productivity. We are dedicating additional sales resources to target these attractive end-market segments. And we are investing in new initiatives to track and respond to potential government stimulus plan opportunity. WESCO is well positioned, provided value added solutions to our customers. And recent feedback from suppliers and customers suggest that our performance is better than our major competitors and the overall market. Moving to the summary of our major end-market segments and I'll start off with construction. Sales to construction customers were down in all but two of our geographic regions. Despite reduced new project activity and project delays and cancellations to non-residential construction market, remains large. With our sizing capabilities we have the opportunity to increase our participation rate in the available business and develop significant new customer relationships. Our construction sales and service initiatives continue to be focused on large regional and national contractors. Particularly those involved with healthcare, educational facilities, data centers, energy and government infrastructure related projects. In the current environment contractors are heavily waiting the financial health and stability of their potential distributors and their supplier selection and project to work criteria and this bodes for WESCO. Our project activity and opportunity pipeline in structured cabling remains healthy. As our sales and marketing initiatives are yielding positive results. This was reflected in key wins in government and healthcare in the quarter. We continue to expand our geographic footprint and have opened three communication supply locations within existing WESCO branches so far this year. This brings our total new Data com branch count to eight over the last year. This branch was in a branch expansion strategy, increase its cross selling and service opportunities in our blue chip customer base. Our long term outlook remains for increasing bandwidth demand as customers who continue to migrate to higher capacity network architectures, investment data centers, improve the security of their facilities and IT networks. And seek green solutions that are both cost effective and reduce power consumption. Green in sustainability is expected to be a growth driver over the mid to long term. WESCO has kicked off a series of symposium style events in major cities across the US to provide education on the opportunities and benefits of green buildings and green data centers. We are positioning our company to be the trusted business advisor and solutions provider for our customers as they work to meet their energy efficiency requirement and sustainability goals while operating their firms in a cost effective and environmentally responsible manner. We are also attracting the flow of government funds associated with the American Recovery and Reinvestment Act of 2009. This act is expected to fuel new construction and retrofit projects that require many of the products and services that WESCO sells. Specifically civil works project such as new water and sewage facilities and transit projects to present opportunities for WESCO. As does the government focus on energy efficiency upgrades to federal buildings and a new construction and renovation of VA hospitals, military bases and military multifamily housing. Due to project timing considerations it's unlikely that the industry will see significant benefits from the stimulus plan investments in 2009. But we do expect that opportunities will arise and an increasing rate as we move in to 2010 and 2011. Now moving to industrial sales to our national accounts customers declined in the quarter although the daily sales rate improved sequentially each month in the quarter. Our integrated supply in OEM customers most of whom are diversified manufacturers reflected the overall weakness in the industrial market and declined by more than 20%. National accounts bid activity increased significantly in the quarter on our national account opportunity pipeline expanded to another successive all time record level. This indicates that purchasing executives and our customers are increasingly concerned about supply chain integrity and are looking for large financially strong companies to mitigate their risks. We believe our increased activity levels reflect our heightened concerns and overall favorable assessment of WESCO. Our customer facing initiatives continue to be focused on providing value added services and selling the complete WESCO portfolio of products to serve our global customer needs in MRO capital projects and OEM materials in value added assemblies. Shifting to utility. Utility spending weakened in December and that trend has continued into 2009. Customers have been focused on addressing only the required maintenance activity although transmission related and alternative energy projects remain a priority over the mid to long-term. We have an expanding pipeline of MRO alliance opportunities and secured a significant win in the quarter to provide MRO services to all the nuclear facilities at the major US utilities. The market thus remain active with bid request and interest in our LEAN customer value creation program and integrated supply capabilities remained intact. We anticipate that end-market levels in '09 will be down as utility customers evaluate power demands and continue to adjust their inventory levels and capital spending accordingly. Despite these overall market conditions we're actively involved in new customer presentations and remain well positioned as utilities look to rationalize their supply chains and respond to government stimulus funding for improving the nation’s electrical system infrastructure. Now, in summary we're continuing to maintain a clear focus on our corporate financial priorities. Number one, generating sales performance it is better than market; Number two, managing and expanding our gross margins; Number three, aligning costs with revenues; Number four, managing working capital to deliver strong consistent free cash flow; Number five, maintaining a strong capital structure. WESCO is a much stronger and more capable company today than doing the last downturn in 2001 to 2003. In addition to our capital structure being in excellent shape today’s WESCO is bigger with better end-market and product diversification. It’s stronger with an expanded auction of LEAN initiatives and marketing programs and is more profitable. We've strengthened our organization in talent base and have the strongest team that we've ever had. We are extra effort in people and employees are our differentiator. With that, we remain confident in our ability to access this downturn and even stronger company. Now back to Steve.
Steve Van Oss: Thanks, John. I’ll like to comment on pricing and then take a look at the rest of 2009. As previously indicated sales of copper and steel based products were down $65 million in the quarter. Overall we estimate there was approximately $25 million to $30 million of aggregate negative price impact on the sales for the quarter. As the positive impact of 2008 general price increases were more than offset by lower commodity prices. Continuation of current copper price levels will negatively impact sales of copper related products for the remainder of the year. We have an established policy of marking up our inventory to current market levels and we're generally able to sell through commodity price declines. We do not anticipate taking any inventory write-downs in 2009 based on the current price levels. Margin levels, however, on these projects will be comprised over the next 45 to 60 days as we continue to sell through the remainder of the higher price inventory. Of the 2009 rest of the year, given the volatility virtually all of our served markets we will not be giving detailed quarterly sales guidance or earnings guidance. We remain confident that our sales and marketing initiatives in our leading market position will enable our company to perform better than the end-markets as we maintain or improve current positions and grow with new customers. Our April activity levels have continued to trend we've been experiencing in the last two quarters. We had anticipated that we will be leveling off and seeing some signs of stabilization or recovery by now but this time our best estimate is for top-line revenues for the year to be down in the range of 15% to 20%. Our near-term focus is on real time right sizing of the business and maintaining ample liquidity and credit availability. The actions taken in the fourth quarter and first quarters along with second quarter actions that are underway should position WESCO to outperform others in our industry both commercially and financially. We anticipate another $2 million to $3 million as severance charges to be taken in the second quarter as we continue to adjust our cost structure in-line with incoming order rates. Capital expenditures are expected to be in the range of $16 million for the year. Our debt facilities are in good shape with our earliest maturity now occurring in April 2012 for our new $400 million accounts receivable securitization facility. Also in late 2010 we have the potential to have our $150 million convertible debenture put back to the company. This redemption can be readily financed in current debt capacity or free cash flow over the next eighteen months. In summary, we had a reasonable quarter against a very tough economic back drop. We've proactively addressed our cost structure in the phase of further declining end-market activity. The company is in good position to execute the difficult economic environment and we're confident we have the balance sheet and liquidity to allow us to further strengthen our position with customers and suppliers. We remain confident in our ability to outperform in the market. At this point Anthorn, would you please open up the call for question-and-answer session.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Sam Darkatsh with Raymond James. Please proceed with your question.
Sam Darkatsh - Raymond James: Good morning gentlemen. How are you?
Roy Haley: Good morning.
Sam Darkatsh - Raymond James: Few questions here. Number one, number of your vendors have talked about really stock de-stocking in the industry and looking at your inventory levels they were down but not as sharply as perhaps I was thinking based on the other commentary. To talk about what you are seeing in terms of the channel from a de-stocking standpoint either from a distribution standpoint or from a customer base standpoint?
John Engel: Sam, let me address both. I will start with customer, let's go outside and start with customers and move to WESCO and what are seeing and hearing about other competitors. There is no doubt that our customers have been working to reduce their inventories. They have been working to cut cost permanently. Structurally they have been looking to deferred cost and expenditures. So, depending on what customer segment you are talking about we are seeing pervasive across the Board attack on cost and it's traveling down the expense side of the equation. The way they are controlling inventory basically throughout lying or cutting off the input side of the inventory equation which is purchasing. So, we seen those challenges, we seen those challenges with our industrial companies. You can't pick up a paper and see our company isn’t taking some range or Draconian action, so we are seeing that, no doubt. For us it's important to maintain on appropriate level of inventory, breadth and depth of inventory. Inventory availability is critical for us because we want to be there and make sure we can provide the service to our customers' demand. We are in good shape financially. We have trims in inventories as we have acknowledged, but we don’t want overcorrect here and not be in a position to serve customers, number one. Number two, because we are in good financial health we can afford to carry these inventories. We had a very solid quarter in terms of free cash flow generation and we are hearing, Sam, that competitors that maybe not be as strong financially and specifically referencing lot of the regional and small locals whether is a way for them to address their challenging financial shape or balance sheet got in good shape. They are going to aggressively working inventory side of the equation in two forms. One is shutting of purchasing, and two, pushing back returns of suppliers.
Sam Darkatsh - Raymond James: Second question, Steve, I can appreciate the effort in keeping the gross margin available above 20% based on all the headwinds. Copper has reached since Q4, Q1 now it's higher to little over $2 or so. At what point does that become a benefit sequentially and how should we be looking at gross margins for the next two or three quarters foreseeable sidelines that we have?
Steve Van Oss: To able to maintain the gross margin in the geography where at right now and you could see another 50 basis point swing in any quarter. As far as copper, average price of copper on the spot market was above 75 and the fourth quarter was down in the first quarter just under $1.60. Yesterday, it goes down around 2.5, 2.10. So we will probably see that the neutralized during this quarter and at this range we are at right now should not have a significant impact on the results.
Sam Darkatsh - Raymond James: Do you imagine that there might a chance the gross margins will be flat even mildly up over Q2, Q3 over current levels?
Roy Haley: It depends on mix and everything else. It's still extremely competitive in challenging environment. I would see 50 basis point move to be up or down, it's too hard to call at this level.
Sam Darkatsh - Raymond James: Then I will ask one more and then I will get back in the queue.
Daniel Brailer: Sam, if you don’t mind that we got a number of people on the queue can we take this one at the tail end or I will take it off line.
Sam Darkatsh - Raymond James: Of course that will be fine. I appreciate it.
Daniel Brailer: Okay. Thanks, Sam.
Operator: Your next question comes from the line of Matt Duncan with Stephens Incorporated. Please proceed with your question.
Matt Duncan - Stephens Incorporated: Good morning, guys.
Roy Haley: Good morning.
Matt Duncan - Stephens Incorporated: The first question I got, John, I appreciate all the details you gave us and what you are saying and all of your various businesses. But I was wondering if you could tell us how much of your sales changed year-over-year for industrial constructions and utilities?
John Engel: Yes, there are three big end market segments and as we know our industrial positions are largest at round 40% and construction 39% to 40%, utilities are balanced. We saw declined occurs in three major end markets. Industrial now went down over 20% as we said the cooperation was down 19.5%. Our constructions just a tad under 20 and utility in the low double digit are these specific on the numbers. Industrial OEM slightly down 23%, construction minus 19 and utility minus 13.
Matt Duncan - Stephens Incorporated: Okay. That's very helpful. As you look at the market place for construction and you look at bid activity the margins they are associated with the bid that you are making today and then also what's happening with your backlog? You guys seeing meaningful cancellations as bid activity lay down, talk about what you are seeing in terms of the backlog type building process for the construction business right now?
John Engel: Okay. I think there are two key, there is numbers of questions and there are two key points I’ll address. Let me first talk on backlog. I think its noteworthy there are backlog drop considerably less than our overall sales. Backlog was down 5% in the quarter. So, we would have preferred the backlog didn’t decline, but the fact that it is down less than sales is encouraging. And as you know and as we talked about in the past our backlog includes construction oriented orders and does not include our pipeline of opportunities, that’s the first point. Second point is in terms of the environment, the pricing environment and margin impact it is becoming increasingly more challenging and competitive. There is no doubt about it, there are smaller and fewer project opportunities and we are seeing anywhere upwards of two to three times more electrical contractors and distributors bidding on these opportunity. The net result of that is increasing price pressures through the channel. In addition, what we are finding is contractors are traveling further from home to find work. They are taking jobs at lower margins and in an attempt to keep their work forces intact, so there is no doubt that it's a much more intent pricing environment. The credit markets remain tight so builders and owners are looking at potentially reprising our jobs, rebidding our jobs. So, we have seen an increase in bid activity but I would not thought like that is encouraging, I would call it a kind of an increasing intensity due to really the fact that more players are competing for less business.
Matt Duncan - Stephens Incorporated: Okay, I will get back in the queue. I appreciate it.
John Engel: Yes, we are encouraged by our gross margin performance just to close that out; we are working very hard on our pricing problems in the prior cost initiative. So, we are doing everything we can try to fill up at least maintain if not improve going forward.
Daniel Brailer: I’ll just add to John’s current comments quickly. On our project business we actually were able expand our margins during the quarter and the margins in our backlog on our project business are remaining solid. So it is tougher price environment. We are doing an excellent job of working the customers as well as the suppliers on that end.
Operator: Your next question comes from the line of Adam Uhlman with Cleveland Research. Please proceed with your question.
Adam Uhlman - Cleveland Research: Yeah, hi, good morning. I guess just related to that last comment, could you walk us through the drivers that are change in gross margin from the fourth quarter to the first quarter in terms of how many basis points was mix supplier purchase incentives etcetera?
Steve Van Oss: Basically, the mix was slightly negative. Okay, we had 30 basis point improvement sequentially and we were equal to last year. So, the mix was a slightly negative. We improved our stock and DS margins we had, the project margins which I just mentioned. And for supplier incentives and everything at that point in time, we have maintained what we call a spread for the most part between our product margins in our reported gross margin. That includes supplier discounts, customers discounts that we give, inventory adjustments NOI. So, we kind of work every angle of the equation on margins and have been able to essentially negate that natural downward tendencies that you see in an environment where sales are declining, so it’s a little bit, it’s a lot of effort in a lot of areas with small incremental improvements in each one of the areas.
Adam Uhlman - Cleveland Research: And with the pricing environment appearing to deteriorate our suppliers increasing your charge back allowances or you allowed to capture more savings from suppliers in this environment or how is that playing out?
Steve Van Oss: No, now I would say the answer is probably no. The distributors can not imagine advice coming in as suppliers on one end and customer on the other positioning the distributors in the middle flex bags but we are working with literally every angle of the equation. We have got a lot of opportunities. We have a lot of areas that we are pushing on dramatically. We used our LEAN processes really to addressed margin opportunities and relates to how we buy things, how we price it, decide the customer where we can work with our suppliers and the likes. So, there is some supplier optimization going on inside our business and other items. Sorry I wouldn’t find one thing, I think the good news is that a multitude initiatives.
Adam Uhlman - Cleveland Research: Okay, and then Steve the $70 million of savings or a $100 million if you roll it up, how much of that for the year did you capture in the first quarter?
Steve Van Oss: We have roughly 20 some million. Our SG&A was down $26 million once you adjust for severance. Though we got a most of quarter up now lot of that came because of the volume component was little higher then what we all expect for the full year. But I got to give great complements to the organization for the speed that which we have acted on our management team and employee base has been just terrific in this area.
John Engel: Yeah, I guess I want to echo that, we have spoken in the past about it could regard the question repeatedly. How quick can you react when we said will be quick reaction, quick response and this really started in the fourth quarter continued throughout this quarter and I echo that we want to really recognize our team for cost the organization for responding.
Adam Uhlman - Cleveland Research: Okay, thanks.
Operator: Your next question comes from the line of Shannon O'Callaghan with Barclays Capital. Please proceed with your question.
Shannon O'Callaghan - Barclays Capital: Good morning, guys. I realize you are doing a lot of things to offset as you’re same. But in term of just can you give us a little more flavor on how competitive are the bidding is now for these projects in terms of how much lower the prices are going to be on the initial bids. So, how much do you have to make up through lean and through going back to suppliers and trying to get more leverage that way. Give us sort of other magnitude on competitiveness of the bidding?
John Engel: It's a wide range. We can’t put a good aggregate number on it because quite frankly when you think about large diversity of geography products categories and market segments and what the specific competitive dynamic is related to that bid. I just tell you that the pressure has intensified. There is more water strong so to speak. The other thing we’re arguing is we have got financials staying power. So, as we go to our suppliers and say at the end of the day we would like as much supportive possible, we’re working with you, you work with us, we’re going to be around. So, that should take the preferential cost side support. Hopefully, we are partnered with our top suppliers and we have staying power. Now, does that translate on a specific bid basis, we’re working all level as possible and there is no way to put a good number on it. We had thoughts in the past about using our ABC model. And if you remember we are really focused on total bottom-line profitability and we’re optimizing using ABC model. We know our customers are profitable. We know customers are not as profitable. Where we have a profitable customer, business model works the customer valued what we do and so we factored that into our pricing strategy.
Shannon O'Callaghan - Barclays Capital: Okay. And then you said the weakness continue through April can you give us a little more flavor on how would played out months to months through the quarter? And you know you're saying I think down 20 for the year. In terms of stabilization, can you just give us what that monthly trend look like?
Steve Van Oss: I only talk about of the fourth and first quarter trend continue and that was a trend where we’re kind of down slightly for the quarter, started in November accelerated in December. We essentially saw accelerate throughout the first quarter and as we existed March and April is been in that type of current level, so just north of 20%.
Shannon O'Callaghan - Barclays Capital: Okay. So March and April, so each month is still sort of worse than the month before in terms of year-over-year decline or March and April are about the same?
Steve Van Oss: We saw progression. It will be getting worse in March and April and [December].
Shannon O'Callaghan - Barclays Capital: Okay. Thanks guys.
Operator: Your next question comes from the line of John Baliotti with FTN Equity Capital Markets. Please proceed with your question.
John Baliotti - FTN Equity Capital Markets: I don’t know if there is a better question for John for what, I was just curious. Is there obviously as your customer worked down inventory and capitalizations are low leveled, are you getting anything from the field in terms of what the local competitors are and how they are faring?
John Engel:
John Baliotti - FTN Equity Capital Markets: Right.
John Engel: So, it's very idiosyncratic picking up a little bits and pieces of information, but we get better information as we talk with our supplier partners and who have a sort of broad range of customers and we compare with sort of in broad terms how we are doing and how their other customers are doing sort of in the aggregate. And with the wide range of our largest suppliers I can tell you the data that we’re getting the feedback that we’re getting is that our performance is outpacing, the market meaning that others are bearing more poorly. Can't tell you about specific suppliers things on the competitors depends on the relationships I have, the kinds of customers that they have and how those customers are performing in their given market areas. But just generally speaking this is an industry wide phenomena is effecting all the players in the industry, the manufactures and distributors and customers of course as well.
John Baliotti - FTN Equity Capital Markets: I would think that just because of their more focus in a geography or by customer subset that they have been unfortunate. It is probably a private information but that they would have to be faring worse than the bigger distributors.
John Engel: Well, the diversity that we get in our business is a real strength. We are not relying on the single market or for that matter a single industry or product types. So, that does give us some additional strength without that kind of concentration.
John Baliotti - FTN Equity Capital Markets: I am sure they don’t want to give you price or I am sure that in this environment it's, it's tough to get that, but are you noticing a different relationship with your suppliers given that you probably on a relative basis more stable and some of the other customers?
John Engel: Well, I don’t want to over play that. The thing that most of our suppliers appreciate is that why we are making some tough decisions organizationally, we are equally as focus on increasing market performance. We have a wide range of sales initiatives. We tailor those with major supplier customers. We form stronger relationships in teams. I have been out on the road the last couple of weeks specifically calling on major suppliers. I think they are all pleased that we are approaching this particular environment with the mindset that problems can create opportunities and if we can be proactive, if we can be creative and we can help them as well as them helping us. I think those partnerships are clearly stronger than ever, because of that kind of mindset.
John Baliotti - FTN Equity Capital Markets: Okay. Thank you very much.
Operator: Your next question comes from the line of David Manthey with Robert W. Baird. Please proceed with your question.
David Manthey - Robert W. Baird & Co.: Hi, guys, good morning. Two clarifications on a question, Steve, did you say that roughly a quarter of the $82 million in cost savings had hit the first quarter already?
Steve Van Oss: Yes, SG&A was down about $26 million adjusting for the one-time charge. So, if you look at the permanently $82 million we had estimate probably in the neighborhood for the year roughly 70 of that 80 will hit for the year, and we've got not quite a full quarter of that component. We did a little bit more of the volume sensitive savings because of the sales being down further than anticipated.
David Manthey - Robert W. Baird & Co.: Right, okay. And then in terms of the discussion month-by-month here, could you discuss the seasonal ramp in terms of timing in magnitude to say that the year-to-year declines are starting to stabilize now, does that imply that you are seeing an increase in dollar average daily sales in April?
Steve Van Oss: If you look at our business, first quarter is typically smallest and as far as percent the total year. You look at second and third quarter were generally the largest and generally equal to each other. So, and then the fourth quarter comes down a little bit following from the on the seasonal basis, we are seeing and would anticipate the entire sales in that quarter, but I would not tell you at this point in time that the rate decline has changed. We’ve not seen something we recall about them yet.
David Manthey - Robert W. Baird & Co.: Right, okay, and then final question. Could you discus about the topic of your backlog would the April base book reflecting a colors to complete lack of financing for new projects. Would it be regional to think that you will work through your backlog as we move throughout 2009?
Steve Van Oss: I guess, I didn’t read the base book the same way that you did as a complete lack of financing for projects. A lot of project activity is either is already funded in someway that is those are already started and moving ahead, they are clearly are some high profile projects that have interim funding issues that are in the news quite a bit. But we are still seeing new projects of various types, healthcare, various governmental projects, energy related initiatives. We started a number of industrial projects related to energy. The capital spending plans for example of all the major petrochemical companies are still very large. They may be cut back somewhat. But they are very large in size and scope. So there is still activity going on and new projects being planned and moving ahead now. There clearly are projects that are sensitive to financing, even something like the wind energy, wind farm activity has slowed down in part because the developers are finding it more challenging to get the financing that they need on lower demands for energy. So there are some dynamics that are going on that I think you are absolutely right they are funding challenges but I don't think they are as significant as may be you are pointing out.
David Manthey - Robert W. Baird & Co.: Very helpful thanks Roy.
Operator: Your next question comes from the line of Christopher Glynn with Oppenheimer. Please proceed with your question.
Christopher Glynn - Oppenheimer & Company: Thanks. Pretty impressive cash flow just a question on that. Where can you go from here, so it had been tremendous of late but getting a little deeper in to the well given the demand environment. Can you comment on expectations in that front?
Stephen Van Oss:  Sure, obviously very strong cash flow quarter big feeling on that was the lower sales volume with a lion share of the cash flow being driven through very strong accounts receivable performance during the quarter. And we would expect to see even on the lower earnings for the year. Our total year cash flow be in the range of where we were last year may be up a little bit as we move in to the second quarter and hits a seasonal growth in sales which is anticipated. That will consume some of the cash, we'd expect probably in a range of $15 million or so in the second quarter.
Christopher Glynn - Oppenheimer & Company: Okay good. And then did you mention what the pricing was in the quarter.
Stephen Van Oss: Pricing is I'm sorry what we talked, the impact the pricing was.
Christopher Glynn - Oppenheimer & Company: Yeah for the first.
Stephen Van Oss: About $25 to $30 million.
Christopher Glynn - Oppenheimer & Company: Okay thank you very much.
Operator: Your next question comes from the line of Dan Whang with B. Riley. Please proceed with your question.
Daniel Whang - B. Riley & Company, Inc.: Yes, good morning. The first question was regarding the mix of between direct and stock products for the company overall. I mean what was that percentage of mix and how does that change year-over-year?
Daniel Brailer: We have slightly its Dan here. A slightly amount of project as John talked about industrial construction mortgage and see that we had, not have had a impact on the project business. But even with that with not a significant change. We generally run roughly 40% project business and then roughly 40% a fair amount in the industrial, rest of would be in our utility and governmental commercial market. So not a big change, but a slight change.
Daniel Whang - B. Riley & Company, Inc.: In terms of the gross margin improvement that you saw on a sequential basis, I mean does that come more from the one category or the other.
John Engel: No its pretty broad based we have a host of initiatives addressed at margin improvement and as I said earlier it was a lot of small wins across the variety of our end-market or we did have some pretty decent improvement in our project business but we also saw in our day-to-day MRL as well and that essentially offset the mix shift.
Daniel Whang - B. Riley & Company, Inc.: Got it, and just in terms of the free cash flow again I mean obviously you’ve paid down a substantial amount of debt during the quarter and I mean in terms of how you keep that with that – do you intent going forward?
John Engel: Yeah we're going to continue to address our debt and maintain a strong liquidity.
Daniel Whang - B. Riley & Company, Inc.: Got it and then finally you’ve talked about some of the trends in the national accounts and integrated supply and I think historically those businesses have outperformed other segments historically even during the last downturn and do you think this kind of the negative trends you saw there is somewhat more temporary, I mean kind of your thoughts around the outlook in those businesses.
John Engel: Yeah, I mean, we would expect that again we would outperform the overall market with our national accounts and integrated supply business model and I think what we experienced in the first quarter was an extension as Steve said what we started to see in December literally across at 15 even end-markets in industrial and we were down in – across high percentages of those and so what we feel in this broadbase across the Board declined in terms of deferral of capital spending and expenses, shutting down factories etcetera and so if you think about that as just these the Draconian actions that were taken by many of our customers over the last four month period. I did mention that data activity is up. We're encouraged by that. It’s significantly up and our opportunity pipeline which again did not reflect what’s in backlog we have a five stage opportunity development process where we track opportunities that go through the bidding stage in our proposals submittal stage and ultimately in our last stage it is an all-time record level as we left – as we exceeded the quarters for our national accounts.
Daniel Whang - B. Riley & Company, Inc.: Great thank you
Operator: Your next question comes from the line of Bernard Horn of Polaris Capital Management, Inc. Please proceed with your question.
Bernard Horn - Polaris Capital Management, Inc: Hi, good morning. I wonder if you could give us that’s a little bit more historical context in the sales chain year-to-year, I'm kind of curious about the split between industrial and structuring utility and my sense would have been that the construction business declines would have much stronger than the industrial. I know it all happened very rapidly last year but I'm kind of surprised that maybe not surprised that the industrial has been that much weaker than the construction business given that I thought construction would have been feeling the pain a little bit more than the industrial and so maybe the, has the industrial started to follow-up more recently or was it always that way throughout the decline and then industrially are there more – did you have more exposure say to the auto business or other industries that are feeling the pain more?
John Engel: Yeah, first I would say that this is following a little bit of the past as prolonged results in 2001 and 2003 and it really to think about our business model makes a lot of sense. The MRO day-to-day activity you can set by the reduced industrial production and inventory de-stockings comes more rapidly and hits our industrial businesses quite earlier. Project business tends to be more larger projects have a longer life, put into place once project start it is generally nonstop, it can moves on to completion perhaps with some delay. This is really putting that patterns somewhat what we have seen before. We used to characterize the company over being more late cycle businesses we have a larger component of construction business. If you go back 10 or 12 years ago we really balanced the WESCO business model not only from a type of end market whether that's MRO project, direct materials our addition with big data comp component with some acquisitions. As comp really stabilized there. As far as your comment regarding any certain end market you mentioned automotive, we do not have a big exposure to automotive. The one of the strength of WESCO is very diverse customer base and as you go across the multiple end markets so we don’t have a single end market that will be dominant in the WESCO portfolio. There are no surprises to us here as far as another relative mixes. I think probably like every other corporate executive we are surprised or concerned by the speed and depth of the slow down in overall economic activity.
Roy Haley: I mean the bottom line is its decapacitization for the industrial companies. Taking our capacity to shut off spending and writing down their buffer stocks for MRO supply. They see their factories. So, ultimately we reach a point where that will have to start taking back end is that really as that simple.
Bernard Horn - Polaris Capital Management, Inc: Yes, and then, obviously some of those capacity has been really taking out some of it's in the past as moved overseas, but I guess I am trying to reconcile that to the comment that your new business activity has never been. It's kind of record and if that if we reconcile those two things does that mean that at some point where it gone through the inventory de-stocking phase and we are now down to a base level of industrial demand that is going to bump along at this level, but who know how long. But where is the new account activity and how does that factor into this to the full sales change?
John Engel: The opportunity pipeline is in the all time record level that I commented on with respect to our national account customer opportunity. So what we are seeing is and we got majority of Fortune 500 companies as our current customer base with national account model represent. It's a customer share price. We are looking at trying to do more with those current customers as they take a look at rationalizing their supply base. Is there concern about supply chain integrity? We are seeing the opportunity to take more customer shift. In addition, we had two new additional new international account wins in the quarter. We maintained 100% contract renewal rate the last two years. There were no renewals in the first quarter, but the overall pipeline again for doing more recurrent customers and new customers asking for national account like service models rest to make those available and propose those as an all time record level that's what those comments are with respect to.
Bernard Horn - Polaris Capital Management, Inc: And is that when you say it's at a record level is that mean that the sales, the volume activity that you could bring in if you go to win all that business, it's not just like the number of new things you busy with.
John Engel: The record not in the record it is in terms of dollar.
Bernard Horn - Polaris Capital Management, Inc: Okay and so if you compare that to the 22% change, how does that, do you know is there any kind of an offset that we could say are you going to be down 23% but you are going to make up 5% of that on new activity if you are to win a lot of that business?
John Engel: Yes I mean there is a long tail and they have different gestation period so some, depending on where it is in our pipeline we got a five stage process and then watch the total scope, one is that opportunity come alive, I think what we are trying to articulate is its the overall trend. Some draconian actions were taken over the last four to five months in the industrial space, dramatic. And yet we are seeing more and more request for additional expansion of our business model, doing more business with current customers and new customers that we don't have today are knocking on our door saying, “can you do this for us” that trend is very positive, it will have all different life cycles in terms of our ability to turn that into meaningful sales. And we are working that very aggressively. The trend is positive on the opportunity pipeline and we would expect that because over the last down turn we grew maturely double digit 10% with our national account business throughout the down turn.
Bernard Horn - Polaris Capital Management, Inc: Okay and the national account is different primarily in the industrial or is it, does it follow over in to utility as well.
John Engel: Its origins and roots where in the industrial phase but we've taken variance to that model and applied it to utility customers. And large contractor customers, national contractors like an M-Cor or IAS IKEA with and also major EPCs like (inaudible). So, but Rick you are correct, its kind of a root to genesis that's started in industrial. And actually started decades ago when we were still part of Westinghouse. And we just we've built up on that.
Bernard Horn - Polaris Capital Management, Inc: Okay thanks very much.
John Engel: We have time for one quick question and then to be respectful of the one hour conference call we'll shut it off at that point.
Operator: Your final question comes from the line of Mike Barone with Silverback. Please proceed with your question.
Mike Barone - Silverback Asset Management LLC: How you doing guys. Just a quick question on the debt reduction during the quarter, where did they come from, did they come out of the bank line or what do you guys pay off?
John Engel: Accommodation of our inventory revolver and our accounts receivable securitization, we just balance between those two lines to which one gives who gives us the lowest rate we'll keep that at the highest level, so we have ability to adjust the revolver on a daily basis and so that's the, those two lines revolver and securitization.
Mike Barone - Silverback Asset Management LLC: Okay great thank you very much.
Roy Haley: Well thanks again for joining us. Its very interesting times I can only say that our team is energized to do the right kinds of things. We've got a lot on our plate, and that [team] is involved both finding ways to develop more business as well as challenge ourselves on how to make our business model more cost effective and efficient, not only for the short-term but for the long-term as well, and we'd expect to see coming out of this period stronger and more productive organization. Just as we did several years back. Thanks again for being with us and have a good day.
Operator: Thank you for your participation in today's conference call. This concludes the presentation. You may now disconnect. Good day.